Operator: Good day, ladies and gentlemen and welcome to the Q1 2019 IHS Markit Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time.  And as a reminder, today’s conference call is being recorded. I would now like to turn the conference over to Eric Boyer, Head of Investor Relations. Please go ahead.
Eric Boyer: Good morning and thank you for joining us for the IHS Markit Q1 2019 earnings conference call. Earlier this morning, we issued our Q1 earnings press release and posted supplemental materials to the IHS Markit Investor Relations website. Our discussion on the quarter, are based on non-GAAP measures or adjusted numbers which exclude stock-based compensation, amortization of acquired intangibles and other items. IHS Markit believes its non-GAAP results are useful in order to enhance the understanding of our ongoing operating performance, but they are a supplement to and should not be considered in isolation from or as a substitute for GAAP financial information. As a reminder, this conference call is being recorded and webcast and is a copyrighted property of IHS Markit. Any rebroadcast of this information, in whole or in part without the prior written consent of IHS Markit is prohibited. This conference call, especially the discussion of our outlook may contain statements about expected future events that are forward-looking and subject to risks and uncertainties. Factors that could cause actual results to differ materially from expectations can be found on IHS Markit’s filings with SEC and the IHS Markit website. After our prepared remarks, Lance Uggla, Chairman and CEO and Todd Hyatt, EVP and Chief Financial Officer will be available to take your questions. With that, it’s my pleasure to turn the call over to Lance Uggla. Lance?
Lance Uggla: Thank you, Eric. Thank you for joining us for the IHS Markit Q1 earnings call. We are pleased with our Q1 results as we continue to perform within expectations. We are making excellent progress on the integration of Ipreo and our post merger strategic initiatives. Key financial highlights of the quarter are: revenue of $1.046 million, up 5% on an organic basis and 12% overall; solid growth in transportation, financial services and resources; adjusted EBITDA of $408 million and margin of 39% with continued strong expansion; finally, adjusted EPS of $0.60, up 13% over the prior year. Let me now provide some segment highlights. Transportation continued to produce solid results with organic revenue growth of 8% in the quarter in line with our high single-digit guidance. We continue to benefit from our diversification across the auto sector’s entire value chain. The strongest growth drivers in the quarter included our auto forecasting, Carfax Used Card Listing and automotiveMastermind businesses. Financial services reported strong results with 6% organic growth with strength across our information and solutions businesses in a diversified fashion. In particular, a strong quarter for pricing, managed loan services, reg in compliance and in our software businesses, analytics and EDM performed well. Ipreo results had strong growth in corporate services and private capital markets offset somewhat by lower equity issuance. We have since seen a pickup in deal flow.
Todd Hyatt: Thank you, Lance. As Lance discussed, our Q1 results were in line with our expectations and included revenue of $1.046 billion, organic growth of 5% and total revenue growth of 12%, net income of $109 million and GAAP EPS of $0.27, adjusted EBITDA of $408 million, an increase of 14% with margin of 39.0% and adjusted EPS of $0.60, an increase of $0.07 or 13%. Relative to revenue, our Q1 organic revenue growth of 5% included stable recurring organic growth of 5% and non-recurring organic growth of 8%. Looking at segment performance, transportation organic revenue growth was 8%. Organic revenue growth was comprised of 9% recurring and 4% non-recurring. Resources organic revenue growth was 6%. Organic growth was comprised of 5% recurring and 16% non-recurring. Recurring and total organic growth benefited by 1% each point from favorable timing associated with software sales impacted by the new revenue recognition accounting standard. Our Q1 organic ACV increased $3 million on a trailing 12-month organic ACV increased $26 million to $738 million, which was up 4% versus prior year. We continued to trend at an ACV level supportive of our 2019 revenue expectation. CMS organic revenue declined 3%. Organic revenue was negatively impacted by uncertainty of a contract renewal in our TMT business.
Lance Uggla: Thanks, Todd. I am pleased with our start to 2019 and believe we are well-positioned to deliver upon our financial commitments for the year. The teams continue to deliver strong diversified revenue growth and margin expansion, while making the right level of investment to be able to sustain strong long-term financial returns for our shareholders. Operator, we are ready to open the line for questions.
Operator: Thank you.  And our first question comes from Gary Bisbee of Bank of America/Merrill Lynch. Your line is now open.
Gary Bisbee: Hi, guys. Good morning. I guess the first question on Ipreo, can we get anymore color, do you think that government shutdown was really the issue and that it was equity underwriting and that normalizes or is there anything else that leads you to think revenue for the year comes in at the lower end of the prior target?
Lance Uggla: No, I think we definitely saw equity market slowdown. Government shutdown definitely played into that lower level of volumes. But since we have seen pickup and the other businesses are performing as planned and so we are confident with that 350 to 370 range and guided to the lower end of it. I think the other pieces is a bit – well, just answer that operator, then we will go to second one is that we have also reaffirmed. The team has done a great job on the cost side and we have reaffirmed the 115 target as well. Next question?
Operator: Thank you. And our next question comes from Peter Appert of Piper Jaffray. Your line is now open.
Peter Appert: Thank you. Good morning. So basically, Lance it seems like the operating results pretty broadly are in line with the guidance you played out, so is there anything you would call out in terms of things that are surprising you here for positive or negative that you are seeing in the current results?
Lance Uggla: I think the and hopefully it came out loud and clear throughout the comments this morning is really I think a bit of a story of diversification in what I would say is the solid quarter of results that’s exactly what’s written on the instruction booklet. And I guess while I say diversified in that you have seen energy at the higher end of the range and that’s come from negative growth because the top end of zero and 2, the top end of 2 to 4, we have now laid out 4 to 6 and mid single-digits and we feel really good about that. This was a solid 5% to 6% quarter and Todd called out the adjustment on the accounting rules that gave us a bit of a lift. But we feel really, really good about energy and then followed on with CERAWeek that had something like 5,500 people crossing right across mobility, finance, technology, big new sponsors Amazon, Microsoft, both they are sponsoring, Google Cloud sponsoring the conferences. And it just shows that we are right at the heart beat of data, data science, technology and the intersection into our industrial segments. So I think we – that bodes well. CERAWeek is a good barometer for the energy markets and I think that bodes well. So diversified in that in order for us to hit our guidance in the previous couple of years, we are always kind of pulled very fondly by automotive, no pun intended, but they kind of towed us up to the higher end. And energy was something we are covering and financial markets putting in a core set of results tending to the higher end at the end of last year. The other thing diversified within, so if you look at financial markets, even processing it’s down, but the fact is as you have got derivatives doing well in loan processing, so it’s a mix bag, things that have always been strong pricing, the private capital markets business, indices, all doing well and continued to do well. And then in automotive it was a bit of shift, Mastermind is doing well. The old core forecasting business is doing well and CARFAX continuing to storm ahead. That mix is slightly different than the digital marketing mix and recall that we are seeing last year. So I think when I talk to the team it was solid quarter and it’s really nice to see that we are not relying on single parts of the company to carry it – carry our guidance. And – but the combination of the business is great. I think EBITDA performance across several of our businesses was stellar as well in terms of expanding margin. Next question?
Operator: Thank you. And our next question comes from Manav Patnaik of Barclays. Your line is now open.
Manav Patnaik: Thank you. Good morning. My question was just on the energy business, so Todd just to confirm the – I guess the one point benefit this quarter, could you just talk about how we should think of that for the full year. And last just on your industry trends I was hoping if there was anything from CERAWeek specifically that you could talk to in terms of your positive outlook on energy?
Todd Hyatt: Yes. But I think the one point we will watch through the year Manav, I mean I think it will be neutral by the time we get to year end. So when we look at the software products within energy they are generally pretty short-term licensing, so there is a little bit of variability in the timing with the new standard. 6% is certainly a point ahead of where we would have expected to be at this time, but we still feel very good about energy, solidly moving into the mid single-digits. And then I think on the non-recurring non-energy, consulting was good. And Lance talked about CERAWeek coming off of a pretty strong CERAWeek in March, so I think we are well positioned as we move forward through the rest of the year.
Lance Uggla: As I have said at the time of guidance Manav, I have said that across the firm we expected the rev/rec to be neutral to $10 million drag and then we will provide color as we go through the year. It creates a little bit of – I think the big thing it will create some in-quarter variability, but full year, we would expect it to generally be somewhat neutral.
Todd Hyatt: Good. So on the second part of your question I think there was two themes that kind of gave a interesting tone towards the upside as I would see it from IHS Markit perspective from CERAWeek. So I think one of the first themes, that’s overriding the energy markets of course is climate. So that bodes well for a company that is well-positioned to consult across up mid and downstream energy activities. You have got the whole LNG markets are very interesting in terms of playing into climate change and the strong supply. And so of course, our consulting teams which then feed into our data products that bodes well. Also climate driving another component that intersects well with financial markets in that whole ESG and measurement of compliance by companies and the investment appetites of the investment markets and how those intersect and come together, that bodes really well for our energy market consultants, coupled with the financial markets, but also our recent acquisition of Ipreo plays well into that as well. I think what was interesting is the intersection is well at CERAWeek of technology and the fact that industry participants are definitely grappling with data, more data than they ever had before and how to manage it, how to share it, distribute it, exchange it between themselves and the vendors in a way that can provide market efficiencies, but also to help them to manage their businesses better and that bodes well for where we sit in the energy marketplace. So I think lots around climate plays in well to a data provider like ourselves as people are analyzing forward policy strategy investments. And then I would say the other one is geopolitics and just the state of the world in terms of whether it’s Venezuela, sanctions in Iran, potential trade wars or settling of trade wars between U.S. and China and that bodes and plays into supply and demand scenarios that again we are a world leader in providing forecast into the upstream energy markets to help decisions around exploration and production. And so I felt that is a strong underlying theme. So yes, I think that all bodes well for where we positioned, I wouldn’t change our guidance, but I think that it helps us reaffirm our guidance and look forward throughout the year and say this is going to be a solid performance for our teams with respect to energy. Next question?
Operator: Thank you. And our next question comes from Jeff Meuler of Baird. Your line is now open.
Jeff Meuler: Yes, thank you. Just wanted to push a little bit more in Ipreo, because you kind of took down the lower end of the range to risk adjust from the original guidance a couple of quarters ago and now just guiding towards the low end of the maintained range. So just in that context, I understand equity issuance with macro and the government shutdown weaker in Q1, but as you observed it’s picked back up. So, I guess are you – is this just one quarter of lower equity origination moves the needle that much just anything that you could say to kind of reiterate confidence in Ipreo? Thanks.
Lance Uggla: Well, I will start and then I will pass to Todd. So I guess I hope you have got used to 3 years of fairly conservative set of forward-looking guidance and we do want to set the right stage. And one thing about Ipreo, it’s similar to derivatives. I hate the fact that any volume based businesses to me judge any particular quarter. What I care about is the fact that our assets whether they are the equity muni bond markets that are driving Ipreo results or whether they are loan processing or interest rate derivative processing or valuations of derivatives. Things that are volume related that really are outside of our control, so we have to guide with our best expectations of an annual marketplace. And since we acquired Ipreo, the markets have been a little bit quitter and there is no cost adjustment with respect to the equity piece which is very volume oriented. And so at this point we looked at our year, we have said we are going to have 5% to 6% organic growth here. We are reaffirming that today. We are into our second quarter. We feel hopefully you can feel a sense of confidence in our guidance. We are managing costs well. But I think through you folks, you can put in 350, you can put in 355 or 360, that’s in that lower part of the range, wherever you want to put your models to and that gives us the solid outlook on the year and one that’s appropriate to give you today. Todd, do you want to…
Todd Hyatt: And I think that’s right. I think you called out the Q1 revenue number that was certainly impacted by quitter markets. And I guess implicit in that, we wouldn’t expect to catch all of that up as we move through the year. I mean I think there is – the markets are certainly much more constructive now. We expect to see a notable pickup in Q2 and see the business performing well for the rest of the year, but I have said at the time we gave guidance that to get to the higher end, things would fall into place well and that would signal some upside and we have protected very well at the 115 level in terms of the margin and so we feel very confident in that number.
Lance Uggla: There is a lot of chatter in the marketplace in terms of tech issuance, the likes of Uber and others all being touted and those all play well for a company like ours, but there is also trade wars and market dialogue that changes things day to day. What I can say if there is issuance there we will be doing it and that could bode very well in the second half or if you took the last 10 years and took the lowest volumes and modeled it out, it will probably put us at the bottom end of that range. And so I think we have given you a good guidance for today. Next question?
Operator: Thank you. And our next question comes from Bill Warmington of Wells Fargo. Your line is now open.
Bill Warmington: Good morning everyone.
Lance Uggla: Hi Bill.
Todd Hyatt: Hi Bill.
Bill Warmington: Could you talk about how the indices business is doing overall and comment on how China bond, the partnership that you did in October is doing and what do you think the opportunity is longer term in China?
Lance Uggla: Yes. Well, index business continues to perform well. I know in general if you look at some of the market chatter and where overall indices are – index volumes are amongst some of the bigger players you would think there would be more volatility. But actually our group, we are one of the world’s – the two world leaders in fixed income bond indices and those volumes and levels have continued to perform well. So we are – we haven’t experienced any significant change to our business there. In terms of our China bond index, I would say that the reception has been good. I don’t have the exact numbers to provide you. It’s something that you could follow-up with Eric on, but all I can say is that we are progressing, we have had great meetings, great reception and given that we are the only player that’s working directly with the China bond as a partner. I think we have a competitive edge and that will bode well for the future. Next question?
Operator: Thank you. And our next question comes from Tim McHugh of William Blair. Your line is now open.
Tim McHugh: Yes. I just want to follow-up maybe a little bit differently on the financial services, can you talk about is the growth rate of the – if we excluded the equity portion, is that consistent with what you thought and is that still kind of double-digit growth as you talked in the past?
Lance Uggla: We expect Ipreo to be double-digit growth, yes. Were you referring to Ipreo or our index business?
Tim McHugh: Yes, Ipreo.
Todd Hyatt: Ipreo, yes.
Lance Uggla: Yes, okay. No, no, definitely our view is this Ipreo be a double-digit growth. And I think there is the organic growth in general was very, very strong in the quarter across the business.
Todd Hyatt: iLevel was very strong. The corporate services were strong.
Lance Uggla: Private capital markets strong. So, I don’t think there is any – we don’t have any cautionary flags whatsoever except that we can’t measure the volume and it was lower than expected. Next question?
Operator: Thank you. And our next question comes from Andrew Steinerman of JPMorgan. Your line is now open.
Andrew Steinerman: Hi. Todd, I had always thought in the past that the resources ACV was a leading indicator of IHS Resources organic revenue growth. Just tell me if you agree with that and given that the resources organic revenue growth is now growing faster than ACV do you expect ACV to kind of bump up to the level where resources organic is?
Lance Uggla: No, I think the way you said it’s the right way to think about it, Andrew. I mean, the ACV is the forward indicator. ACV growth on a trailing 12-month basis is 4%. The reported organic is ahead of that. I called out a percentage point of that was due to the new rev/rec standard. Within any quarter, I say there is potential of a point plus or minus just from contract renewal timing that can impact, but we have ACV right now, it’s 4% we see that continuing to move up and that given I think with the context that Lance provides, it give us a high level of confidence that resources will certainly be in the mid single-digits this year.
Andrew Steinerman: Thanks, Todd. Next question?
Operator: Thank you. And our next question comes from Ashish Sabadra of Deutsche Bank. Your line is now open.
Ashish Sabadra: Thanks. Yes, my question was on the transportation side, so continuously some good momentum there. I was just wondering if you can talk about traction for the Conquest marketing product within automotiveMastermind as well as the myCARFAX new product launch, how is that coming along and then just maybe quickly on the non-recurring side, any kind of visibility that you have on the recall activity there? Thanks.
Lance Uggla: Okay. Maybe I will start and then I will pass to Todd. So the first thing is yes, we called out three areas of strong performance in the quarter, which slightly different than maybe previous quarters that was Mastermind and of course, the Conquest product launched in the quarter, so we have got a quarter of results and that was a strong participant. Second, it’s too soon on CARFAX for Life, it was just launched in the new year, so you are really seeing that launch play into Q2, but the team worked right through 2018 to be ready for that early this year launch and they have got the product out and it’s too early to give you any forecast except it’s a well-developed product that will play well into the service lane and support future growth. Used car listings continues where smaller – the smaller participants, but with very high growth rates. And again I think quarter by quarter CARFAX and used car listings is one of their new innovative products over the last few years continues to grow and then just the underlying core automotive business with the whole, everybody wants to know impact of EVs, what’s the future of ride-sharing programs, how does that affect componentary in cars. So the whole automotive forecasting becomes quite interesting and so another good performer. On the lumpier side recall, which is lower margin I think Todd called it out in some of the financials as well as digital marketing post Facebook, those which have been strong growers last year coming off slightly. So the mix of product is slightly different, but solid 8% organic growth and we are very pleased. Yes, recurring transport 9% and the non-recurring a bit lower and you see some of that variability in the non-recurring. The recurring feel very good about the continued performance at that level that very high single-digit level. There will be some variability in the non-recurring, recall certainly introduces a level of variability, but we don’t see it being hugely profit impacting. So, I think we’re – we continue to see very strong growth drivers throughout the Transportation segment and feel very good about the guidance we provided on that segment.
Lance Uggla: Good. Thanks, Todd. Next question.
Operator: Thank you. And our next question comes from Hamzah Mazari of Macquarie. Your line is now open.
Hamzah Mazari: Good morning. Thank you. My question is just around whether you think the portfolio can generate positive organic growth in a more significant slowdown. Just any color on cyclicality of the business? Thank you.
Lance Uggla: Yes. I think we’ve said before that, I think that our 5% to 6% organic growth target takes us through cyclical change in the industries that we’re in, because a lot of our products are kind of must-haves regardless of the sentiment in the markets they’re in. So, for example, a large piece of the automotive market, 65% of it is used car listings, so that’s not SAARs connected. In fact, if anything, it might be cyclical in a positive way, we don’t call it out that way, but if you wanted to take the other side of that argument, you could. Forecasting, it’s something that the OEMs need regardless of whether they’re going to sell 1 million cars or 5 million cars, whatever the number is going to be, they still need our forecasting. Our emissions products, our regulatory and – are needed regardless in terms of measuring output regardless of the market environment. You’ve got Mastermind, which is helping dealers sell cars. Incentives usually go up. In the – in challenged markets, incentives go up, the whole need for data science around customer retention, customer conquest, service lane activity, those are all positives. So, automotive, I’d say, in general, I believe it’s well cushioned within its upper single-digit range in the cycles that we can see ahead of us in ‘19, ‘20, ‘21. Energy, energy is interesting. Definitely exploration plays into our upstream, which is the largest piece of our Resources franchise. And – but explorations is a long – it’s a long-term view, and the general view is to replace what’s needed by the world economies as well as to fulfill the kind of base demand scenarios. There’s still exploration required, and therefore, I think the markets got into this equilibrium state with oil in the $55 to $65 range, I think we feel very comfortable with our upstream growth continuing. Sub $55, definitely you could see a bit of a change in terms of forward CapEx. I also love the shift of CapEx. Last year, we were looking at 80%, 85% of global CapEx coming out of the Permian, and this year that shifted completely and you have a much more – you have much more global or international component to the CapEx, and, of course, our data sets are supporting those activities with all major players. So, I feel that’s one place where cyclicality could come in, but then you have to look at the rest, PGCR, power, gas, renewables, liquid natural gas, U.S. exporter, replacement of coal, energy as a service, plastics, we’re playing in – our chemicals team are playing in plastics and recycling and how all the big – just ran a big customer-driven study around plastics. And I just feel like we’re in the hot bed of change with respect to climate. So, I think our PGCR business has continued upward momentum regardless of the energy markets, because policy and strategy is changing. And then finally in the downstream businesses, those continue to grow at upper single-digits. We’ve – we made a small little chemicals pricing acquisition. We’ve got our OPIS activities. We are world leaders in coal. We’ve added data science around that in terms of pricing, coal – coal transportation, supply using some pretty advanced data science and that bodes well. So, again, I think there is a mix there. Upstream definitely got a cyclical component, mid-downstream can definitely hold its own or outperform. And then financial markets, really most of what we do in financial markets, people need regardless of volumes, sometimes when markets are thin, volumes are higher and were paid per trade. Again, yes, maybe in a downward cycle, we get to the lower end of that range, 3% to 5% in a really negative financial markets environment, but we are very well diversified. And so we feel that mid to slightly upper single-digits with the current assets we have bodes well for this year and we kind of reaffirm that today. And then CMS, a bit of a mute quarter. It’s a smaller division, but in any other division, we wouldn’t call out a contract renewal, but when it sits right in front of you and it’s minus 3%, we’ve got to explain why it is, but there is nothing really to report there and we reaffirmed – we took from low to mid to say low, that’s probably the year’s hedge. And put it altogether and we still feel really good about our 5% to 6%, our 100 basis points margin and our double-digit earnings growth. So, that was a long-winded answer, but covers the company. Next question?
Operator: Thank you. And our next question comes from George Tong of Goldman Sachs. Your line is now open.
George Tong: Hi, thanks, good morning. Your financial services recurring fixed organic revenue growth decelerated to 4% from 7% in the prior quarter despite easier year-ago comps. Can you discuss what drove the deceleration in the recurring business in financial services and what could drive a reacceleration?
Todd Hyatt: I don’t think anything specifically drove it, George, I mean, we had very high growth last year, Q1, Q2. We’ve said that this was a business, the information business is going to perform in the 4% to 6% range. We’ve had a few quarters where we’ve overperformed that. It’s a healthy business performing well and there can be some in-quarter variability, there can be some comparisons to prior years, but there wasn’t a specific item that I would call out in that part of the business, I think we continue to perform very well there. and we had a really strong non-recurring quarter. So, this sort of gets back to Lance’s earlier point, you have – you’re down a little bit in one area, you are up quite a lot in another area and you put it together and it’s a really strong performance by Adam and the team again.
Lance Uggla: Yes, no, I think it’s – there’s nothing specific, but I would say if you take the last 8 or so years and you take that core information business, ex-Ipreo, it’s been 4% to 9%, that’s 2 years I think we’re at low 4s, and then some years we’ve been 7%, 8% or 9%, 3 or 4 years and the rest of the time kind of between 5% or 7%. I don’t think I agree with Todd, nothing to call out there. We’ve reaffirmed the year and I definitely – I feel our position in the marketplace around our growth engines, private capital markets are positioned in the loan and credit markets, you’ve got lots of private equity moving into private credit, private debt that bodes really well for our businesses, pricing, et cetera. Our valuations team in more challenged illiquid market valuations if anything that bodes well. Our reg and compliance products and solutions, nobody asked any questions about that anymore, but that’s been consistent double-digit growing now for many quarters and that’s – that bodes well in this environment. And then the intersections in the organic growth coming from our merger still bodes well. And I think 0.75% to 1% per annum of organic growth coming from merger-related synergies is something that we can look at as a consistent player. So, if we do $30 million to $50 million a year from synergies with respect to cross-sell, new product development, data science analytics across the firm, I think that bodes really well and is in line with the merger and we continue to see that growth. So – and that’s because we have a financial markets franchise that’s well regarded, that are – we’re able to bring our energy, automotive, aerospace and defense, economics products into our customer base. And yes, that all bodes well for where we’re going to end up this year, but it is the first quarter. We’ve got 3 quarters to go, we’ve got 1 month into the second quarter and we feel confident enough to reaffirm where we’re going this year, but again, we never want to get ahead of ourselves. So, I think if you stick with the numbers as laid out, I hope we don’t disappoint you. Next question?
Operator: Thank you. And our next question comes from Alex Kramm of UBS. Your line is now open.
Alex Kramm: Hey, good morning, everyone. I feel like I may be asking a similar question that have been asked a few times. But I just, I think Lance you just said it yourself, you still feel very, very confident about the guidance or you may even say you don’t want to get ahead of yourself, but at the same time, some of the updates we’ve heard today, CMS obviously taking down guidance, Ipreo at the low-end, and in energy, you had this kind of like a benefit that seems to be little bit one-time. So, everything seems to be maybe a softer start, but you’re still very, very confident. So, just want to make sure I hear that correctly, because I think if you look at the run rate right now, there’s a significant step-up that needs to come to make the rest of the year, just maybe I’m hearing that’s right?
Todd Hyatt: Alex, we’ve talked about the seasonality in the business and I think if you go back and you look at the cadence of the business, Q1 just is the lowest quarter for this company, Q2, Q4, two biggest quarters. And so the business performance that we’ve had to-date fully supports the numbers that we’ve committed to on a full-year basis. When you look at Q1 and you look at Q1 versus prior year, it’s a good solid quarter and organic revenue growth of 5%. Resources, yes, we did call it out, but I think the Resources number was probably ahead of where we expected it to be, because of the organic – because of the revenue accounting change, you normalize that, it’s consistent with where we expected it to be maybe a shade ahead of where we expected it to be. So that one we called out. We – as Lance said I think CMS, a relatively immaterial event in the context of the company, in the context of CMS, it’s a bigger number, so we called that out. Certainly, don’t see that being impactful to the company’s full-year performance. And when we look at the significant items that drive forward numbers and we look at ahead into Q2 and talk about things like some of the events that we have in Q2. Lance talked about CERAWeek and the performance that we’ve had there, we feel certainly happy with that performance. And then general improvement in some of the underlying market activities, which we called out. So, I wouldn’t read – I guess, I think you’re reading too much between the lines, I think it’s a solid quarter. We feel good about the start to the year and certainly have a clear path to deliver on a full-year basis.
Lance Uggla: Yes, I guess, if I add it to that and I always like to have maths that works when we give guidance and I kind of look at our four divisions and look at what are things that give me confidence in delivering 5% to 6% organic growth for the year. And if you take energy, if you want to take the 1% away from the software and you think energy is going to come in at 5%, you look at CMS and you go, well, they took away mids, it’s going to be 2% to 3%. You look at financial markets, it’s kind of – always it never fell below 4%, you could even put that at the lower end and you’ve got high single-digits, 7% to 9%, 9% recurring this quarter if you’re at even 7% or 8%. When you put that altogether, you still end up north of 5% and gives us great confidence to give a quarterly guidance at 5% to 6%. And I agree with Todd, I feel very solid, but also I think we also have a reputation of making sure that you’re putting numbers that work into your models and ones that we’re not going to let you down on and then you can make decisions accordingly. Next question?
Operator: Thank you. And our next question comes from Toni Kaplan of Morgan Stanley. Your line is now open.
Toni Kaplan: Hi, good morning. Thanks for taking my question. I did want to ask about the TMT contract renewal. Did you ultimately sign the contract or if not, was – did the customer go to a competitor or go in-house, if you did resign, was it on worse terms or was this all just a timing thing, and do you have any other large contracts coming up for renewal this year? Thank you.
Lance Uggla: Right. So, every – all our divisions have large contracts every single quarter ranging from 100,000, which is small to millions which get larger and even $10 million, $20 million renewals. So, we’re dealing with large contract renewals in every one of our divisions. And this particular contract renewal wouldn’t even show up on a dial in any of the other three divisions. It just happens that CMS has three components and it’s a bit more transparent and we wanted to give you a highlight to that. What I’ll talk about in general is sometimes we have customers that – two customers can come together and form one customer. And when that happens – and that happens across financial markets, across asset management, automotive suppliers, energy companies. Our entire marketplace is filled with M&A activity that is never a smile for us. We don’t get smiles when there is mergers because it means that we’ll absorb in our 10% non-renewing recurring revenue every year. We’ve got to work hard to rebuild that. And so we haven’t lost the contract to any competitor. We have a contract delay, which may or may not come through, couldn’t tell you, but the team has done a great job to position us well if it does get renewed. And it’s now in our – it’s been given to you, it’s in the numbers, and there is nothing else unusual about anything in the firm that is worth pointing out. And it’s a good question, Toni, but there is nothing unusual here except that it’s in a division and a business where it is transparent. What I can say to you in TMT is that, our RootMetrics team has – ever since that acquisition some years back, it always had a handful of big customers. So, it always had these single points of failure, which – what I really like about the team is, we’ve started to diversify and grow in doing technology benchmarking across cloud services, Internet of Things, where we’re looking at the benchmarking of sensors or we’re looking at the cloud service providers. We really have diversified our benchmarking activities. And benchmarking is a great business and we wouldn’t be able to do that without the team in Seattle that are – they are all PhDs, super-smart quants doing a great job, but they’ve got some big customers that may decide to be together and therefore that has a in-quarter impact. Next question?
Operator: Thank you. And our next quest comes from Jeff Silber of BMO Capital Markets. Your line is now open.
Jeff Silber: Thanks so much. Just one quick one, you had mentioned the potential impact of the government shutdown on the Ipreo business in terms of equity slowdown, was there any other impact in any other businesses, I think last quarter you talked about you might see some impact in your product design area?
Lance Uggla: Yes. I said last quarter that U.S. government and in-product design there was a continuing resolution process. And then once the government was funded, those contracts would be basically fully funded and released into revenue. And so we – that is occurring and we don’t have concern about any government contracts from product design. I think that’s our last question. So thank you everybody and I will turn it over to Eric.
Eric Boyer: Yes. We thank you for your interest on IHS Markit. This call can be accessed via replay 855-859-2056 or international dial-in 404-537-3406, conference ID 4198595 beginning in about 2 hours running through April 2, 2019. In addition, the webcast will be archived for 1 year on our website at www.ihsmarkit.com. Thank you and we appreciate your interest and time.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.